Operator: Good day and welcome to the KVH Q3 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Peter Rendall. Please go ahead, sir.
Peter Rendall: Thank you for joining us today to discuss KVH Industries third quarter results and our updated 2015 guidance. With me on this call is, Martin Kits van Heyningen, the company's Chief Executive Officer. We issued our third quarter earnings and 2015 guidance press release this morning. It is available on our website and also from our Investor Relations department. If you would like to listen to a recording of today's call, you can access a webcast replay on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com and we will answer them following this call. This conference call will contain certain forward-looking statements that are subject to a number of assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. And we undertake no obligation to update or revise any forward-looking statements. We would also discuss certain non-GAAP financial measures and you will find definitions of these measures as well as reconciliations of these non-GAAP measures to comparable GAAP measures in our earnings press release. We encourage you to review the cautionary statements and other disclosures made in our SEC filings, specifically those under the heading “Risk Factors” in our 10-Q filed on August 10. The company's SEC filings are directly available from us, from the SEC or from the Investor Information section of our website. At this point, I would like to turn the call over to Martin, Martin.
Martin A. Kits van Heyningen: Thanks Peter and thank you all for joining us today. I am going to start at this time with a high level overview and then go into some details about half way through. So overall it was a good quarter, I am pleased to report our third quarter revenues were in line with our guidance albeit at the low end of our range. Our revenues for the quarter were 45, 44.5 million with non-GAAP earnings per share of $0.12. Now contrasting that was some very nice wins in maritime fleet, some large defense contract program wins. Now we don’t have all of these orders in backlog yet, but we have been informed that we were selected, we are designed in, and the programs are funded. So we are in excellent shape for Q4 and beyond. Airtime revenues came in about as expected meaning it was consistent with prior quarters, up sequentially and up year-over-year but at growth rates that’s lower than we are used to. Nevertheless we feel like we are gaining momentum in the VSAT and IP-MobileCast areas. Airtime gross margins improved at 36% and were above forecast. We expect this trend to continue as we gain traction with our new mini VSAT broadband 2.0 service. We have a strong deal pipeline and the sales teams are quite optimistic as it feels like we are gaining market share in a tough macroeconomic environment, where offshore vessels are under pressure, with vessel layups continuing. TracVision satellite TV sales were strong for the quarter. The new TV series products are performing well both in terms of technical performance and sales. Our e-learning and training group had a strong quarter with Videotel revenues up 17% year-over-year, it’s at a new record for revenues with nearly 12,000 ships now subscribing to our service. KVH media group sales were also ahead of our plan. The big news this quarter was the launch of our mini VSAT broadband 2.0 service which is very well received. Our new business model of offering very high speeds in exchange for explicit data caps, flash allowances resonated better than expected with customers. We already have over 100 subs on the new rate plans. These plans provide improved gross margin and revenues that scale with usage, I will get back to this in a second. Product sales overall was slow however but a major bright spot was our IMUs sale. We have now delivered over 500 units and shipped over 100 units in Q3 alone, including some for use in self driving cars. These higher margin systems should pull us out of the slump caused by the recent decline in the U.S. Army growth program. TACNAV sales were very low in the quarter, but we are not concerned. In fact, we never had the type of backlog and pipeline that we have now for TACNAV in terms of size, diversity, and follow-on potential. During Q3 we finished the design of a new TACNAV font variant, started production, and we plan to ship $7 million to this particular customer in Q4. We have a total of $12 million in backlog for Q4 delivery and another $12 million already in backlog for 2016. Total TACNAV sales are expected to be at an all time record in Q4. We also expect to book an additional $5.8 million order from an existing customer but since that's not yet in backlog, we aren’t putting it into our guidance for this quarter. We did just receive a $1.4 million PO as part of the same project so our confidence in the future orders is very high. This will be the third PO as part of a larger well defined and well funded program. In fact we are informed that this program might now grow significantly far beyond what we have in our internal plans. So although we had an extremely low revenue quarter for guidance and stabilization, we have turned an important corner. For the first time, we see long-term multi-year visibility of increasing sales. As I mentioned evidence of this is the fact we already have $12 million in backlog for 2016 TACNAV shipments, that’s never happened before we expect solid growth in this part of our business now. As previously discussed our TACNAV FOG has also been designed into a major U.S. Army vehicle program. We expect to be able to announce this contract which is different from the one I was just referring to in the coming months and expect to start initial deliveries in 2016. So, altogether over the next few years we see TACNAV programs going from units in the 100s to units in the 1000s of systems going forward. Before I guide some stabilization group, the long-term outlook for our defense business points to less volatility and more quarterly stability and substantial growth. So that’s the high level overview and now I am going to go into a few details on some key parts of the business and then I will turn the call back over to Peter for the financial details. In our mobile broadband business overall revenues for the third quarter were just under $28 million that’s up 3% from the third quarter of 2014. This growth rate is lower than what we have seen in the past and is due largely to the impact of the depressed oil and gas market which is offsetting the momentum we are seeing in other segments including shipping, yachting, and commercial fishing. Offshore service vessels which are primarily used in the oil and gas segment represent a little more than 20% of our Maritime VSAT business. A lot of these vessels are being taken out of service and in some cases their owners are actually going out of business, which has led to slower growth in Airtime revenues overall. Outside of this sector, we are seeing churn at or below where we have been for the last five years. We have won a number of fleet deals in Q3 and you should see a steady stream of announcements in the coming weeks. Our sales people are optimistic that we feel and we feel like we are seeing the customers are beginning to understand the unique combination of connectivity, content, and value added services. The fact that major competitors are attempting to copy our innovative new services is an indication of how we have changed the basis for competition in a way that clearly favors our market leading technologies. The yachting market appears to be rebounding nicely, especially in North America. KVH enjoys exclusive relationships with industry leading boat manufacturers like Sea Ray and Viking Yatchs both of whose businesses are doing very well. This has led to increased orders for KVH TracVision products which were up 25% for each of these important customers. We are seeing similar trends with our major Maritime distributors. Heading into the important winter boat show season which begins with the Fort Lauderdale Boat Show later this week, we are optimistic that the yatching market will continue to rebound. Throughout 2015 we have made substantial upgrades to our VSAT service which included upgrading our network terrestrial fiber links, we also increased our ability to manage traffic on the network, added a new customer facing web portal called NAVKVH which enables shipping companies to monitor the position of their vessel and manage their airtime connections, and added new rate plans that enable customers to enjoy the fastest data speeds our network can deliver. Rather than roll out these improvement incrementally, we have combined them all into a major upgrade to the mini VSAT broadband service which is what we are calling mini VSAT broadband 2.0. This new version of our service was launched with a big marketing and PR effort coinciding with a major shipping industry event in London in mid September. The service went live on October 1st. Our new rate plans are based on bundles of gigabytes where customers pay for whatever quantity of service they use. These programs are different from our Maritime VSAT competitors, we try to regulate consumption based on the speed of the connection, choking off heavy users by slowing their connectivity service or by letting customers self content to the point where nobody gets a decent experience. Our new plans allow customer to buy whatever quantity of service they need, use it however they like, and manage their use with powerful account management tools including the new myKVH portal, where they can set-up internet café and phone and group call services for their groups. Large files that have historically been too expensive to send over satellite links or broadcast over IP-MobileCast service and are not part of the customer's data allowance. So IP-MobileCast is a huge enabler for this new approach. Customers can now meet demand for news, entertainment and training services without impacting their internet connection at all. We think that our unique architecture allow us to be a leader in this approach, in a way that our competitors will find very difficult to copy. In fact we are about to announcement significant new upgrades to the IP-MobileCast service which will further extend our lead. The new rate plans have a great benefit to KVH’s business as well, as our airtime margins should improve and we should be able to support more customers with our existing satellite capacity when revenues are directly linked to consumption. On the content side of the business, we are kicking off a new relationship with Inmarsat where our NEWSlink print and Videotel basic training videos will be made available on their fleet media player. We are also exploring collaboration or collaborating with service providers in other mobile markets to use IP-MobileCast. We are in discussions with most satellite owners now and with leading airline connectivity providers about using our IP-MobileCast technology to deliver content to commercial airplanes and other platforms. These are early stage discussions but they make it clear to us that the capability that we are inventing are unique and of great interest to other service providers and are not limited to Maritime applications. So looking forward to the remainder of the year, we believe that we have got a great foundation to our business, we are working hard to convert some of these exciting opportunities into growing sales. Amongst our top FOG customers for the quarter where manufacturers of drones, self driving cars, stabilized cameras, dynamic serving equipment. We are supplying a number industry leaders in these new and exciting markets, so we are optimistic about the growth potential for our FOG products. For the mobile broadband business, we are seeing positive momentum in both Maritime VSAT and our satellite TV business. We feel our new mini VSAT broadband 2.0 service is going to create an extremely compelling offer for commercial shipping companies during a period where our competitors are trying to convert them to significantly higher price services. We also believe the IP-MobileCast service is critical to this strategy and will be adopted by a growing segment of the market as customers experience a variety and quality of this ground breaking service. Our Videotel training service is capturing a greater part of the Maritime e-learning market through more versatile technology platforms, expanded course offering, and new relationships with industry leading institutions. We are encouraged by both the large military sales we have seen for our TACNAV product line and by the potentially large projects in the pipeline that we are hoping to win. But most importantly we don’t see the upcoming spike in Q4 revenues as an anomaly but more of a beginning of an important long-term trend. And finally the integration of our FOG and IMUs into new applications with high growth potential make us optimistic that we will soon see growth in this area of the business as well. Now I would like to turn the call back over to Peter to go over some of the financials, Peter.
Peter Rendall: Thank you, Martin. Now I would like to discuss in more detail the financial results of the company for the third quarter. As Martin mentioned earlier, our third quarter revenues of $44.5 million were within the guidance range that we previously gave and were about 1% higher than the third quarter of 2014. The primary drivers for this growth were high e-learning and safety content revenues and higher VSAT airtime revenues which were offset by the lower TACNAV revenues, which we had anticipated. Our third quarter service revenues of almost $29 million increased by 5% year-over-year mainly due to the VSAT airtime and e-learning revenue growth. Looking at our airtime subscription revenues more closely, in the third quarter airtime revenues were $17.1 million up 5% from the prior year period. Our VSAT ARPUs during the quarter remained pretty consistent with fixed rate plans recording between $1800 and $1900 per month while our metered plans continue to run slightly lower than we had seen historically of between $500 and $600 per month. Our content and services revenues in the quarter, which includes subscription revenues associated with the entertainment and e-Learning content as well as any professional service fees were $11.7 million, which was 6% higher than a year ago. Almost all of this increase was attributed to record revenues from our Videotel e-Learning business, as we continue to add new subscribers. We were also pleased with the level of subscription based service revenues in the quarter, which amounted to 61% of total revenues up from 58% in the prior year third quarter. Moving on to our product revenues, our total product revenues fell by 7% to $15.6 million in the third quarter or $1.3 million from the prior year quarter mainly due to the expected decline in TACNAV revenues. Our mobile broadband hardware revenues of 10.3 million in the third quarter were in line with what was recorded in the third quarter last year. Our guidance and stabilization hardware revenues of 5.5 million were 1.1 million lower than the third quarter of 2014 or 16%. As we've discussed the decrease was primarily attributable to lower expected TACNAV revenues which fell 44% year-over-year. Although TACNAV revenues were down, as Martin mentioned earlier we were encouraged with the record number of IMU shipments during the quarter. Turning to our gross profit margins in the third quarter, our consolidated gross profit margin of 44% was in line with our expectations and higher than the 42% gross margin we reported in the third quarter of last year. During the third quarter we reported a record 50% gross profit margin, for our services business, our services and content business which compares to 46% reported in the prior year period. This increase was driven by strong margins from our content businesses and higher VSAT airtime gross profit margins which increased to 36% in the third quarter, compared to 34% in the prior year quarter. For product hardware we recorded a gross profit margin of 34% compared to 36% a year earlier. Again this decrease was primarily attributable to the lower TACNAV revenues which carry a slightly higher margin than our mobile broadband product revenues. As it relates to our third quarter operating expenses, we've recorded 19.5 million in the third quarter which was up 7% year-over-year. The majority of this increase relates to higher compensation related expenses in the current quarter while the prior year compensation related expenses reduced by a one-time reversal of an accrual. Our non-GAAP EPS for the third quarter which excludes discrete tax items, acquisition related costs, intangible amortization and stock-based compensation expense was $0.12 which was in line with the guidance we previously gave. Our adjusted-EBITDA for the third quarter of 4.2 million was also in line with our previous guidance. For a complete reconciliation between GAAP and non-GAAP measures please refer to our earnings press release that was published earlier this morning. Backlog for our guidance and stabilization products and services at the end of September was approximately 28 million, of this amount approximately 14 million is scheduled to be delivered during the fourth quarter which includes our FOG products as well. With that I will now turn to our outlook for the fourth quarter. As we mentioned on earlier calls, TACNAV shipments are significantly skewed towards the backend of 2015. In our prior guidance we noted that the full year guidance was dependent on receiving one significant TACNAV order. Although we did received a portion of that order, as Martin has already described our current quarter guidance only reflects the TACNAV backlog that we have on hand. In addition a portion of our revenues and costs denominated in pound sterling and we've seen significant currency fluctuations over the past year. Our guidance assumes that there are no significant fluctuations in exchange rates for the remainder of the year. With this context, our revenue guidance for the fourth quarter is in the range of 52 million to 56 million and we expect our GAAP EPS for the fourth quarter to be between a $0.23 and $0.28. We also expect our non-GAAP EPS to be in the range of $0.38 to $0.43 and our non-GAAP adjusted-EBITDA to be in the range of $10.5 million to $12 million. In wrapping up my thoughts, we were pleased with the solid operating results we recorded in the third quarter and we are looking forward to a strong fourth quarter. With that I would like to turn things back to the operator for the Q&A portion of this morning's call.
Operator: [Operator Instructions]. And we’ll now take the first question from Jim McIlree. Please go ahead.
James McIlree: Thank you and good morning. 
Peter Rendall: Good morning Jim.
James McIlree: Martin in your commentary I think you said that the Q4 spike in revenue is not an anomaly, I hope I am not misquoting you. I just want to clarify what you mean by that, are you saying that you think -– it seems to me that most of the variation you have seen in the revenue comes from the guidance stabilization business, are you suggesting that the guidance in the stabilization business going forward is, you are kind of a steady state $10 million to $15 million per quarter, did I understand you right on that? 
Martin A. Kits van Heyningen: Well that’s perhaps I didn’t say as clearly as I should have, what I meant to say is that in the past we have had big spikes in Q4 and then next year was a bust. In other words, we also had the TACNAV business has the history of being cyclical on an annual basis. What we are seeing now is that we have got a lot of backlog going into 2016 and we have got a lot of stuff in the pipeline and we even had some orders that I will wave out that we haven’t – that we didn’t book in Q4 that we expected to book. So what I am saying is that we don’t see the TACNAV business as being something unusual. We see that as a start of a trend, which is very different from how it’s been in the past five years where we have a great quarter and then nothing for a year. 
James McIlree: Got it, okay. So you are going to -– so you have 28 in backlog right now, you are going to deliver I think 14. So you will start let’s assume those are right, you will start next year with 14 but you have got things in the pipeline?
Martin A. Kits van Heyningen: Correct.
James McIlree: Can you quantify you know either a range or compared to that 14 how much is in the pipeline that could possibly be booked in 2016 or for the rest of this year and into 2016?
Martin A. Kits van Heyningen: Well in terms of quantity not necessarily all are for delivery in 2016 but it’s in the $30 million to $40 million range, in terms of total pipeline could come in here. So, it is significantly different from what we have had in the past. 
James McIlree: And does that 30 million to 40 million include the army vehicle that you mentioned earlier in the script and you have been talking about in prior calls?
Martin A. Kits van Heyningen: No.
James McIlree: Okay and relative to that particular program can you just review again the status of that and how confident you are that, that is actually going to get built and if it does get built your chances of being on it?
Martin A. Kits van Heyningen: We are designed in, we expect to get you know POs for [indiscernible] I would say in the coming months. So that U.S. army programs happen slowly so we don’t expect big numbers for 2016 for that particular program. Although we do expect it’s a multi thousand vehicle potential overall. So it’s going to be a very large program. One of the largest that we have had.
James McIlree: And that program has been awarded and has gone through the pro-tests and all of that has been resolved or is it still somewhat up in the air with prototype?
Martin A. Kits van Heyningen: Yeah I don’t want to get too specific here because I give too many details, I mean there aren’t that many. I think you will figure it out for competitive reasons, I don’t want to say anymore than that. But yeah, the program has been awarded.
James McIlree: Okay, great I will get back in line. Thanks a lot.
Martin A. Kits van Heyningen: Thanks Jim.
Operator: We will now take the next question from Chris Quilty from Raymond James. Please go ahead.
Chris Quilty: Thank you. Martin can you give us a sense of what the vessel net adds look like in the quarter for the mini VSAT service, what you are seeing in terms of disconnects and what's your outlook for 2016, just in broad terms?
Martin A. Kits van Heyningen: Yeah so I think as we talked about in the call, we have seen some suspensions/deactivations in the offshore sector. I don’t have a number for that to give you Chris and we don’t really report subscriber numbers directly. But it is limited to that area and as I indicated, that part of our business in total of which oil and gas is not 100%, it’s 20%. So net adds are still positive. We are adding new customers at rates that are consistent with what we have done in the past or even little bit better actually. So clearly outside of oil and gas, we have got a strong business. Now we don’t expect that to improve but we also don’t expect it to get any worse, meaning that right now we are not selling into that market, really at all. There is just no activity in that business, I think we sold like 2 units in the oil and gas this quarter. So the good news is that it’s not going to get any worse. So looking out to 2016, we are pretty confident, we are -- we think that we have got a great product offering and we think that we want a couple of fleet deals now. We are getting some momentum, people are starting to get the story with Videotel and IP-MobileCast and VSAT and the pricing structure that we put in place. So overall our outlook is decidedly positive despite the sort of poor macroeconomic environment that we are seeing.
Chris Quilty: Got you and the content business growing single-digit, why should it not grow faster and how does the content growth or pricing get reflected when I believe the new I believe the new plans they are getting a bucket of data, do they pay separately for type of service and then that service falls into the 500 gig bucket?
Martin A. Kits van Heyningen: Yes, so the content business that we content and service includes engineering services. So that growth rate I mean like Videotel was up double digit growth which is big part of our content. So big part of the content that we are selling is operational content. It’s not just the entertainment part, which is sort of the exciting part. But the pricing model for the content business hasn’t changed, so you purchase the movies or the charts, the training package, we deliver it for free over the IP-MobileCast. So that’s really the key here as in the past, nobody wanted meter plans or cap plans because they would blow through those caps with people downloading movies and things and they just say I don’t have a giant bill or their internet connection gets choked after the point where it’s unusable because everybody is downloading stuff. So it’s really the combination of having IP-MobileCast to deliver a bit of content and then it makes other approach feasible in combination with our portal. So it’s really sort of those three things together that are compelling offering and that’s what is different from what we had before.
Chris Quilty: Got you and would you expect with the new 2.0 plans going into force should that drive the growth of the content business up to higher growth rates next year.
Martin A. Kits van Heyningen: Yes, absolutely. We are seeing very high take rates on -- with the new plans and IP-MobileCast. 
Chris Quilty: Got you and I forgot to ask with regard to mini VSAT any change in the antenna types V7 versus V11, V3 and how do the new pricing plans impact customer selection?
Peter Rendall: For the year it’s still trending to the 60, 40 sort of the 60% being combination of V7, V11. In Q3 it was slightly skewed more towards the V7, V11 so it was actually 70:30 but long-term trends are still the same. 
Martin A. Kits van Heyningen: So the way hardware and service interact is that we have gone to a, sort of a 2, 3, 4 megabit per second data rate on the forward link. So that with the V3 you get 2 megabits per second, V7 three, and with the V11 you have 4 megabits per second. So that’s the really only difference in the data speeds and then for the open plans, the pricing is identical for V7 and V11. 
Chris Quilty: Okay, and the new broadband plan is radically different than what anybody offers, does it create issues in terms of customer bids when they approach the market seeking an offering and you have got something that looks like an Apple but everybody is Orange. How do you deal with that situation?
Martin A. Kits van Heyningen: Yeah, I mean it is very different and it’s intentionally so. I think what we found is we have actually been approached now by couple of the big deals that where they had a bake-off and the purchasing department decided to make everything identical. We don’t well in those types of situation and the super low bidders guys one and now they are coming back and saying the service is awful and we actually had a customer -- we have actually had customers now who are adding V7 just so they can IP-MobileCast even though their IT department purchase somebody else’s VSAT. So even though it’s different, I think there is enough experience now with the other approach. The people are starting to come around and be very open to this method.
Chris Quilty: Okay and Peter you talked about improved margins with these plans, can you give us a sense of how that flows through.
Peter Rendall: So we saw a sequential increase between Q2 and Q3 going up to 36% margin and we would expect to see those margins continue to peep up closer to the 40% mark over the next three quarters. 
Chris Quilty: Okay and one clarification and I will jump back in the queue. Did I understand correctly when you gave the run down on TACNAV orders, it sounds like there was about $4.5 million delta between what you expected to receive and TACNAV orders and what actually came through in fourth quarter and if I am correct does that account for the difference in the Q4 revenue guidance relatively to what you had previously given or what factors did…? 
Martin A. Kits van Heyningen: Yeah, let me go through that in a little detail. So there is one particular program we were expecting, we had delivered Q4 last year to U.S. customer, U.S. vehicle manufacturer for an overseas end customer. We expected the same this quarter. What we got were -- what they’ve actually done is split the order. We received part of it about 1.4 million, we are expecting another 5.8 million. The difference is that now the vehicles have already shipped and the installations are being done in country, which we don’t really care about because it’s the same revenue for us but what it means is that, we need an export license. So, whereas in the past we expected that even if we got the order November, December, we are building it anyway. We ship it, recognize the revenue this quarter. Late yesterday we heard that we have to ship it over there, so that even if we do get the order now, it’s unlikely that we only get the export license in time. So that’s why we have removed it from the guidance, so that’s really the only substantive change. But it changes the revenue recognition, revenue shipment for this quarter. It’s 5.8 million, the short answer is, it’s about 5.8 million delta.
Chris Quilty: Okay, so doing my short mental math that seems to account for most of the change, the downward revision to the revenue guidance.
Martin A. Kits van Heyningen: Yes absolutely.
Chris Quilty: Perfect, thanks for the clarification.
Operator: [Operator Instructions]. We will now take the following question from Jim McIlree from Chardan Capital. Please go ahead.
James McIlree: Thanks again. As a follow up to Chris’ question, so that 5.8 million that’s not shipping this quarter, is that Q1 next year shipment and revenue recognition or does that get recognized over a couple of quarters next year?
Peter Rendall: It would most likely be in Q1 next year.
James McIlree: Alright, and I know you said it earlier but just to -– just to make sure that 5.8 million is in backlog?
Peter Rendall: It is not in backlog.
James McIlree: It is not in backlog.
Peter Rendall: Not in backlog.
James McIlree: Great and can you...
Peter Rendall: So that -- just to clarify that order will be coming from an in country installation, it is through third-party installation company which we have already received an order from but it’s not from the vehicle manufacturer, so that’s the change.
James McIlree: Alright, okay, got it. And just a little bit more on the impact of 2.0 service, so you are expecting margins to be better.
Peter Rendall: Yeah.
James McIlree: You are expecting ARPUs to be better as well?
Peter Rendall: That’s a good question. ARPU, we expect subscriber growth either to come from this but one of the advantages that we are doing. One of the advantages of this new service is that now we can target people who are on fairly low monthly plans. So that if you were paying $500 a month, or a $1000 a month and getting really awful service either through L band or through low speed plans, now you can step up to 3 megabit per second plan and get 5 gigabyte per month for under $1000. So ARPUs actually might go down but it would mean that subscribers are going up. So in other words these are incremental adds to people who are not generally in the VSAT market today.
James McIlree: Right, okay, terrific does that require any significant increases in your marketing or sales or service infrastructure?
Peter Rendall: Not beyond what you have seen in the run-rate. So we have got a pretty aggressive marketing campaign and customers are relatively targeted. So we aren’t expecting a big increase in marketing expenses.
James McIlree: Okay and then Martin you made some comments about Inmarsat and IP-MobileCast on other platforms and I am just a little bit confused or maybe a lot bit confused about what it is that you are contemplating there, are you going to be offering just the content for Inmarsat and others to offer on their networks or you offering your IP-MobileCast service that includes the content that would be delivered to Inmarsat and other customers over your network or a little bit of both.
Martin A. Kits van Heyningen: Yeah, two separate thoughts there. One is we did a deal with Inmarsat where we are providing our NEWSlink print product which is a low bandwidth product that they can deliver to their L band customers as part of their fleet media product. And we are also preloading a package of Videotel movies, training movies called the Videotel Basic Training package. So it’s kind of a limited service but it gives people a sense for what our content is. Separately we are also talking to satellite owners as well as other service providers about taking advantage of this new architecture that we have invented for content delivery and over the top service in combination with some of our content and seeing if that makes sense for commercial airlines or offshore oil platforms or other things, even media delivery online because it’s just a very efficient way of doing it. So we see a lot of opportunities there and we are exploring some of those.
James McIlree: But that’s something, that is still an exploration phase, it’s probably not going to have a big impact on 2016 but it’s –- if it works maybe we will see some impact in 2017 and beyond is that a reasonable assumption?
Martin A. Kits van Heyningen: Well that’s probably reasonable. I mean these -- you know how these markets are, they take some time to develop, but it’s there. It’s more interesting I mentioned more to give a sense for how people in the industry, people the largest satellite operators and the largest people in the commercial aviation space think that what we have developed is pretty impressive.
James McIlree: Alright, okay, great. And Peter on the cash flow, CAPEX, etcetera can you just give us some basics there, D&A for the quarter, stock comp for the quarter, CAPEX for the quarter?
Peter Rendall: I sure can, so just in terms of capital expenditures they were 1.1 million for the quarter. In terms of depreciation, amortization that was 3.2 million and stock based comp was just under 1 million. 
James McIlree: Okay, with the cash that you have currently are you becoming more aggressive on M&A or you looking at that cash as the nice thing to have going into potentially a weaker economy?
Peter Rendall: Well I think we have done sort of an increasing amount of M&A over the last couple of years so we continue to look at things that make sense strategically. There is nothing right now that we feel is an imminent gap in our product portfolio or in a content strategy. So, but we certainly keep that on the table.
James McIlree: Okay, great. Thanks again.
Operator: We will now take the following question from Rich Valera from Needham and Company. Please go ahead.
Rich Valera: Thanks, good morning. Just wanted to confirm that your gross adds were within your historical 250 to 300 range that you have talked about?
Martin A. Kits van Heyningen: The gross adds. Yeah, so in terms of subscriber adds we certainly don’t talk about subscribers but outside of the offshore business the answer is yes, the business has been steady state. We did see some deactivation, that we have discussed a couple of times now.
Rich Valera: I was specifically referring to gross. Not taking into account the deactivation, you talked about 250 to 300 number many times. So I just wanted to know that number
Martin A. Kits van Heyningen: Yeah, but I just don’t want to confuse hardware and net adds which is based on subscribers. So, but just to answer your specific question, net adds have been in the consistent range where they, sorry, the gross adds have been in the range that’s been very consistent. 
Rich Valera: Got it and then I am just wondering how you look at the headwind you are seeing from oil and gas, I mean we are at least three quarters, if not more into a very depressed oil environment, I am just wondering sort of how many more of these oil and gas customers there are to churn off and when that stops being as much of a headwind as it’s been for these last several quarters, any thoughts on when that sort of churning slows down at least so maybe you see some re-acceleration of the airtime business?
Martin A. Kits van Heyningen: That’s really difficult to answer. We don’t -- obviously we have a limited exposure because it’s not a big part of our business. So we –- so logically what you are saying is correct, we should see that tapering off. We have seen some stabilization particularly in the Middle East where the activity seems to be better than for example in the Gulf here in the U.S.
Rich Valera: But you don’t have any sense to of when that might like as we head into next year should we be thinking I mean, at that point we will be over a year I would say into a very depressed oil market, it would seem that you would have shaken out a lot of weakened so to speak.
Martin A. Kits van Heyningen: Right yes, and starting next year, your year-over-year comps will be based on already low oil prices.
Rich Valera: Right. Okay and then Peter I am sorry, I just missed your breakouts for guidance stabilization, the revenue and then the split between FOG and TACNAV and other.
Peter Rendall: So I didn’t specifically give that level of breakout but the TACNAV has been historically running for the first three quarter at around about $1 million and the FOG has been sort of traditionally running around the 4 million to 4.5 million mark, it was pretty consistent.
Rich Valera: Okay, can I just have the GNS revenue number for the quarter?
Peter Rendall: The –- we had that in just under 7 million.
Rich Valera: Okay, just under 7 million, okay. And then with respect to IP-MobileCast, I mean -– I gathered from your prepared remarks that you are seeing traction with that and I guess it’s in theory flowing through the increase, should be flowing through via increased media sales as well as presumably some bump in ARPU, just wanted to get sense on if it’s really had an impact on the business yet from a revenue standpoint and if not how do you see that as moving to 2016, is that impact potentially growing for mobile?
Martin A. Kits van Heyningen: Yeah, I think up until this point, it’s not a material revenue number. In another words it’s not driving a big part of our overall service business. It has had a very material impact on our positioning and our sort of take rate in the VSAT business. So what we expect going forward is that now in combination with these new rate plans it becomes an integral part of it. So it’s really early days, we just went live with the new rate plans in October 1st but it does look it is working.
Rich Valera: Okay, got it. Alright, thank you, that does it for me.
Martin A. Kits van Heyningen: Alright, thanks rich
Operator: We take now take the following question from Chris Quilty from Raymond James. Please go ahead.
Chris Quilty: Martin just a follow up on that, will you allow current customers to transition to the new plans or is it that they are going to have to wait until the end of their current contracts?
Martin A. Kits van Heyningen: No, we will encourage people to transition. So we will grandfather I mean if they don’t until their contracts expires if they don’t want to but we absolutely are -- would encourage them to move.
Chris Quilty: Okay, so could you perhaps in the future give us a sense of what that rate of transition looks like, that would certainly be helpful to get an idea of the conversion rate. A question just it is a bit of a future question on high through put capacity, lot of stuff coming online, really more middle end to next year and beyond, how is that going to impact the margin structure for the company in terms of is it a direct substitution for older broadband capacity that you can just roll off or is it, does it become an incremental cost for you.
Martin A. Kits van Heyningen: If it become costs favor for us. So we see the dual high throughput satellite as being more efficient, higher data rates, lower costs per bit. So as we overlay that type of capacity, we expect that to have a positive impact on margins. So we can do it in a way where we are not adding costs on top of what we are doing, we are adding incremental subs and adding bandwidth at cheaper prices than we are paying today.
Chris Quilty: Okay, and final question Inmarsat did go live with the Global Express Service can you give a sense of how that’s impacting you or not impacting you competitively?
Martin A. Kits van Heyningen: It’s surprising that we haven’t really seen an impact. I am not sure if it’s because we are not global yet or because -– they had the first satellite up and they said its available for regional service and they have launched a bunch of different services around transitioning to global when it’s available but it hasn’t been an impact so far.
Chris Quilty: Okay, fair enough. Thank you, gentlemen.
Martin A. Kits van Heyningen: Alright, thanks.
Operator: [Operator Instructions].
Martin A. Kits van Heyningen: Okay, well if there is no other questions we will wrap up and we are also available to answer your question directly by phone or email both Peter and myself. Thank you.